Operator: [Call Starts Abruptly] sir, please go ahead.
Thierry Huon: Good evening, everyone. Welcome to Renault's Third Quarter 2014 Conference Call, broadcast live and in replay versions on our Web site. The presentation Slide and press release for this call are all available on our Web site in the Finance section. I would like to point out the disclaimer on Slide two of this pack regarding the information contained within this document, and in particular, about forward-looking statements. I invite all participants to read this. Today's call is scheduled to last 45 minutes. As usual, we have two speakers this evening, Jérôme Stoll, EVP and Chief Performance Officer and Dominique Thormann EVP and CFO. Their presentation will last about 20 minutes and will be followed by a Q&A session. If we don't have the time to take everyone's question in this session, Hélène Mazier and myself, will be around to take your calls later. Without further ado, I will pass the call over to Dominique for few opening remarks. Dominique?
Dominique Thormann: Thank you, Thierry, and good evening, everybody. Before reviewing commercial results with Jérôme in a minute, I would like to highlight the key takeaways from the third quarter. The risks and opportunities and the environment that we described in July for the second half proved to be right so far. In Q3, we have seen continuing growth in Europe, a slowdown in emerging markets and easing pressure from currencies. Our sales in Europe, which were up 7.6% in the quarter despite a French market lagging the European market trend, are a source of satisfaction. Outside of Europe, where we were confronted with a severe contraction in some of our key markets, we managed to limit our sales decline to 7%. The sales performance was supported by the success of our new models that Jérôme will detail for you later in our presentation. Lastly, as you will have read in our release, we maintain our full year 2014 guidance. Before handing over to Jérôme, I would like also to remind you on Slide five that we changed our regional management organization and that the geographic breakdown in our presentation today is consistent with our management scope. Of course, all 2013 numbers have been restated accordingly. The main changes occurred in the Eurasia region, which now includes Turkey and Romania. As a consequence, the Euromed region no longer exists as such with North Africa now included in a new region called Africa, Middle East and India region. I will now pass the call over to Jérôme, who will review our quarterly commercial performance.
Jérôme Stoll: Thank you, Dominique, and good evening, everyone. So, I will start my presentation on Slide seven with market trends and our registration for the third quarter compared to the same period last year, globally and for each region. So the global TIV was up by 3.2% driven by Europe, China and North America. Europe first, the European market kept growing over the period with 5.5% rise. All the major countries contributed, but at different paces. Spain, Italy and UK, offered significant market increases, while France remained barely in black with 0.5% growth. Outside Europe in what we call overseas region in Africa, Middle East, India, so called AMI, Algeria softened its fall with a 6.7% decrease in Q3, while India entered the post-election period with a 10%growth. Asia-Pacific TIV was up 2.8%, driven by China and Korea, Eurasia and Americas suffered falls20.3% and 8.3%, respectively, directly linked to the troubled economic or political situation of their key countries. In this context, Renault registrations remained flat with balance results within the regions. The Group increased its volumes in Europe, AMI and Asia Pacific, however, fewer registration were made in Eurasia and Americas. I will now detail this result within the next Slide. You can see on the Slide eight the distribution of sales among the different regions. Last quarter again, Europe compensated for the 7% fall of our international operations with 22,000 units more than last year, coming mainly from UK, Italy and Spain. Even with the gain of market share of 0.7 point in Russia, Eurasia sales suffered from the poor market conditions in the main countries of the region. The restriction of our imports in Argentina led to the fall of our sales by 20.6% in the Americas. Excluding Argentina, the fall would have been at market level. Our dynamism in Algeria, Middle East and South Africa made Renault growing at the same pace of the market in AMI. Another steady performance of 10.5% for Renault Samsung Motors in Korea contributed to a 37.1% sales increase in Asia-Pacific over the period. If you turn to Slide nine, you see that our international mix of sales was, for the third quarter in a row, below 50%. This is the logical consequence of our positive sales momentum in Europe combined with the downturns of our main emerging countries. Now let's focus on the chart representing the group market share in its top-10 countries, which account for about 70% of the total sales. I want to highlight that despite headwinds, we remained robust in our core market. Compared to last year, we gained 0.1 point to reach 9.6% of market share in our top-10 countries. Now we'll detail our performance in each region. Let's begin with Europe on Slide 10. Europe that grew for the fifth quarter in a row, our market share went up by 0.2 points to reach 9.3%. This represents 22,000 units more than in Q3 2013, 12,000 units were linked to TIV and market mix, and 10,000 units were the result of our new products performance. The Renault brand is the leader of the small and urban cars A plus B segment, with the success of Clio, third best seller in Europe and Captur, number one in its segment, Dacia market share improved by 0.2 points to 2.4% of the European TIV, pulled by the success of Sandero, number one car in Spain in Q3, for example. The Group market share went slightly down in Europe over the summer, but remained at high level. Sales momentum should remain positive, as our order bank is worth 1.7 months and above last year level. The Slide 11 presents our year-to-date market share per sales channel for the five countries for which data is available. The Group commercial performance since the beginning of the year remained virtuous mainly based on the retail sale conquest. This conquest was made in respect with our pricing policy. Renault pricing remained steadily over the basket of competitors this quarter again, pulled by Captur and Clio. We voluntarily slightly raised our sales in the short-term rental channel, as we needed to fuel our secondhand market. Anyhow, the weight of this channel was only for 8% of our total sales, below market average. In Eurasia, Slide 12, Renault suffered increasingly from unfavorable conditions, with a 20.3% TIV fall for the World Region and 22.9% TIV fall in Russia. In this context, the registration fell by 13,000 units, despite the strong commercial performance, leading to a 0.8 point market share gain. In Russia, Renault remained second brand position, increasing its market share by 0.7 point over the period, at 7.8%. Duster kept its position of best-selling SUV, with 16,000 registrations for the quarter and almost 60,000 year-to-date. The first few months of new Logan sales are promising. Customers are younger and are willing to pay more than for the Logan 1. We expect the same effect from new Sandero. In Turkey, downturn slow down, the market is down 8.9% over the period. In this context, despite a strong second and third place in the sales ranking for Fluence and Clio IV, Renault suffered a 5,000 loss compared to Q3 last year. In the newly created AMI region, Slide 13, we gained 9,000 units this quarter. 4,000 were due to TIV in the context of slower market deterioration in Algeria and a fast recovery in India. In this country, India, before the launch of two new products next year, Renault lost 2,000 units, suffering from a dip of its product lifecycle. After a difficult H1 in Algeria, due to a low level of stock in Q1, the Group quickly recovered, with a 4 point market share gain over the summer. The growth was carried by new Dacia Logan, the bestseller in Q3, and new Renault Symbol, the fourth in the ranking. Renault remained the number one brand by far. This position will be strengthened by the forthcoming opening of our new plant in Oran. In the Americas, Slide 14, our market share was down 1 point at 6.3%, representing 27,000 units less than in Q3 2013. The main headwind remained Argentina. The financial context did not show significant improvement over the last quarter. We voluntarily limited our imports to reduce our exposure to the peso. As a consequence and despite the strong attractiveness of Clio Mio manufactured locally and on top of the sales in Q3, Renault has dropped 19,000 units over the period. In Brazil, market share was stable at 7.1%. This is a good performance considering that Q3 was a transitional quarter between Sandero I and Sandero II which will fully delivered in Q4. Duster remained the first CSUV in Brazil with 34,000 unit already sold. Let us switch to Asia Pacific Slide 15. The two core countries of this region are China and Korea, as India and Middle East are now part of the AMI region. In this new context, Q3 2014 was better than Q3 2013 by 8,000 units, mainly thanks to our performance in Korea. Therefore, our market share gained 0.1 to 0.4%. Renault Samsung Motors Revival Plan kept being fruitful. Our market share in Korea was up 0.2 to 4.3%. In the Renault Samsung Motors has been growing continuously for one-and-a-half years. This growth came from QM3, the Korean version of Captur and its 10,000 units sold since January. It will be also supported in Q4 by the new diesel version of our SM5 midsized sedan. Before wrapping up this chapter on commercial performance, I would like to share our perspectives for the end of the year on Slide 16. The European market should confirm its growth in Q4 to reach a full year 5%increase, including France slightly over 1%. The situation in our main emerging markets should remain adverse and volatile. In this context, we confirm our 2014 initial commercial objectives; first, to increase global registration and second, to keep gaining shares in Europe. Our main assets will remain our products' attractiveness: Clio, Captur, new Logan, new Sandero, now fully available in all our main emerging markets. We do believe that there is more to come in terms of volume and revenue with our two recent launches, first the Trafic, 10,000 new Trafic have been sold in one-and-a-half months. And second the Twingo, more than 20,000 new Twingo have already been ordered with a 40% upper trim level mix which is double of Twingo 2. Thank you for your attention. And I hand over to Dominique who will now review our third quarter revenues. Dominique?
Dominique Thormann: Thank you, Jérôme. I will start this part of the presentation with the change in third quarter revenues compared to last year on Slide 18. As you can see, group revenues increased 6.7% to €8.350 billion in the quarter. The contribution from the automotive division increased also 6.7% while the contribution from sales financing was up 6%. I will start the analysis with the review of the automotive division on Slide 19. On this Slide, we show the contribution to the change in automotive revenues for the third quarter broken down by item. From the left hand side, the first item is foreign exchange which was negative with a 1.3 percentage point impact showing a significant improvement over the last quarters. The headwind is primarily the reflection of the fall of the Argentinean peso and the Russian ruble. The second item, volume, was positive 3.1 points. Despites stable registrations, this positive impact resulted from a lower destocking in the independent dealer network this quarter compared to a year ago. Next, geographical mix accounts for a positive 0.7 points, reflecting the improvement of our European sales. The model and version mix effect was neutral in Q3 at minus 0.1 points, but masks contrasted trends for product mix and version mix. The product mix was negatively impacted by the launch of the new Twingo and the continuing success of the B-segment cars, while the version mix effect benefited from better demand for the higher trim versions of our recently launched vehicles. The price effect was positive by 1.1 points. This is primarily the reflection of price increases decided in certain countries outside Europe in order to offset currency weakness. The sales to partner’s item were the strongest contributor to the growth in revenues during the quarter with the positive impact of 4.4 points. This relates to continuing high demand from our partners, but also from more CBU deliveries for Nissan in the United States, India and Russia. The last item, others, impacted negatively by 1.2 points and represents the activities outside the new car business, mainly spare parts, non-new car activities as well as restatements related to buyback commitments. If you now turn to Slide 20, we saw a significant destocking in the quarter at independent dealers from 337,000 units to 240,000 units. At the same time, group inventories increased by 95,000 units. All-in-all, total inventories ended roughly at the same level as at the end of the first half at 493,000 units, but 10,000 units lower than a year ago. Due to the traditional seasonal pattern, these inventories represent 74 days of sales. However, on a forward looking basis, our inventory level is about at 62 days, in line with the level in June and right in line with our own target. Given our current visibility, we expect to end the year below the current day supply level and not far from our forward looking level. I will now move on to Slide 21 and comment RCI Banque's commercial performance, the number of new contracts written by RCI Banque in the third quarter of 2014, increased by 5.3% versus the same period in2013. New financings in the quarter increased at the same pace as the number of new contracts. Lastly, average loans outstanding increased by 4.1%, compared to the third quarter of 2013. Although, this is out of the scope of today's presentation, but for those of you who follow events in the banking world, I would like to remind you that RCI Banque successfully completed the asset quality review and stress tests as was announced by the European Central Bank, last Sunday. Before moving onto the Q&A session, I will now turn to the last Slide number 22, which gives you our outlook for 2014. As I mentioned in my preliminary remarks, we maintain our guidance for the full year 2014, which calls for increased registrations and group revenues at constant exchange rates, improved group operating profit and that of the automotive division, and finally positive automotive operational free cash flow. This concludes our presentation. Together with Jérôme, we will now take your questions. And I will hand the call back to the conference operator, and thank you for your attention.
Question:
and:
Operator: (Operator Instructions) We have the first question from José Asumendi, JPMorgan. Sir, you have the floor.
José Asumendi :
 JPMorgan:
Jérôme Stoll: Yes, Jérôme speaking. So regarding the first question and the pricing in Europe and then Twingo, what we can see on the market is really a kind of contrasted situation especially on PC market with those competitors who are I would say showing discipline and those who are adding a lot of pressure on the market. To be honest, we have kept our pricing discipline over the quarter. We are still above the basket as we have been since many months now. It's clear that it is supported by the good evolution and the good sales of our new products Clio and Captur, who are pulling our price up increasingly in the gap with our competitors. But we have -- this is counterbalanced, I would say, by the fact that we have to support the Renault Mégane, Scénic and Twingo, but all-in-all, we remain above the basket with the way we measure our price positioning. If I want to add something on top of that, I would say that the way we measure the price positioning is concern the car that we are selling the more and we compare the version that we are selling the more and we compare it to the equivalent of the competitors. What we have now to -- and this is the strategy that we are implementing is to see how we can improve the trim mix, because the trim mix is definitely a little bit lower than the market and this is where we see real improvement or possible potential of improvement, which will obviously affect the revenue, the increase in the revenue and by improving the trim mix and be closer to what the market can offer and this is something that we are targeting. With the introduction of the new models let's say Captur and Clio, we can see already that because of the attractiveness of the product, customers and the sales people are selling or buying for the customer upper trim compared to the previous version and this is very significant. I can give you one or two datas regarding that, regarding Captur, for instance, compared to okay -- the comparison is a little bit bizarre, I would say, if we compare with Modus, but it was the car that it has replaced, Modus we sold more than 50% in the lower trim of the model where we're above 64% with the upper trim with the Captur. With Clio IV and Clio III, we can notice exactly the same evolution. A little bit less than this order of the magnitude, but the same evolution with here again upper trim. And looking at -- and to conclude this -- my intel on Twingo, for the time being, we have collected orders from the network and we have just started to sell this car. And here again, the price positioning is very high. We have for this specific model it's more than 50% on the upper version where the previous Twingo was by two-third on the lower version. So, here again, we can see -- and this was a clear willingness for the company and from our self by putting at the time of the launch of the Twingo to position this car with the higher mix and this is what the dealer have order in our plant and this is what we're trying to implement in terms of strategy. Sale to partners is clear that it is a big evolution that you can notice in our account and that will affect the coming months and especially the revenue in our mid-term plan. We expect to double the sales to partner in terms of revenue within the mid-term plan and this will come from, I would say, from the vehicle side, coming from the fact that we are selling cars to our partner Nissan. Rogue, for instance, which is a SUV manufactured in Busan and sold to Nissan especially for American market, and we have just started this quarter the sale of this product and obviously it will affect the Q4 result in the coming months, because this car is very successful in America for Nissan. I could add the Terrano, which is cross-badge of Duster which is sold by Nissan in India and Russia and we're manufacturing this car and selling this car. But you have also new product with the smart car which has just started this month and will represent significant volume in Q4 and in the coming months as well .And you knew already the sedan which is the small van that Mercedes is buying from us -- Daimler is buying from us. On the top of this vehicle, which is something that can be seen by external analysts or observers, you have all the engines and power train that we are selling also to our partners and this represent also a very significant volume, especially the diesel engines which are now mounted on the Daimler cars and Nissan cars and some other partners. So, on the top of that, as you know, and this -- just to explain that this sales to partner will increase in the coming months. We have, as you know, signed with Fiat, a deal where we're going to sell to them a mid-light commercial vehicle manufactured in Sandouville. This is not yet accounted in our result on Q3 and Q4 2014. It will come by end of 2015 and later, in the development of our mid-term plan. So, this access of sales to partner is really very interesting and promising axis of development.
Dominique Thormann: Yes. And on your question on the AVTOVAZ consolidation, I don't have anything new to report tonight, just to repeat what I've said in the past. We're working through the technicalities, and this is an event that will occur in 2015, but nothing new to report on that front. So, it's still a bit away from where we are today.
Operator: Next question is from Thomas Besson, Kepler Cheuvreux. Sir, you have the floor.
Thomas Besson : Thank you very much. Two questions please. First, on level of inventories and what we should expect in terms of destocking in Q4, could you also repeat what you said relating to the expected level of inventories at year-end?
 Kepler Capital Markets: Thank you very much. Two questions please. First, on level of inventories and what we should expect in terms of destocking in Q4, could you also repeat what you said relating to the expected level of inventories at year-end?
Dominique Thormann: Okay. So what I'm saying is that, if you take where we're parked at the end of September and we look at our sales plan in the last quarter on a forward-looking basis, we have 62 days supply. And I'm expecting that, given what we have in front of us, that we'll land somewhere around that number, at the end -- on a backward-looking basis, given of course the sales in the quarter, so the reported number that you'll see -- that you see on the bottom of my Slide will look somewhere in the 60s, so in the low 60s. That's what I'm seeing right now.
Thomas Besson : Okay. Should we expect further restocking in Q4, or relative alignment between your registrations and the revenue effect?
 Kepler Capital Markets: Okay. Should we expect further restocking in Q4, or relative alignment between your registrations and the revenue effect?
Dominique Thormann: No. There is always in Q4, given -- once again seasonal patterns, there is always a preparation for Q1 of 2015. You have year-end plant closures and a number of down days. So what will happen is, group stock will tend to decline and your dealer stock, the on-ground inventory for dealers, will increase. Now that's on average, and that's a consolidated number. Clearly, that will depend where you are around the world, but that's a good rule of thumb going forward for the next quarter.
Thomas Besson : Okay. Last question please, can you make a comment on the timeline of the new product launches in the next 12 months, please?
 Kepler Capital Markets: Okay. Last question please, can you make a comment on the timeline of the new product launches in the next 12 months, please?
Jérôme Stoll: It's Jérôme speaking. The product to be launched in 2015, it's what, okay, we have -- how can I say, many products that are scheduled for 2015, 2016 and the following months or years. First, you're going to have the new Espace coming in the first half of the year then you will have a C-crossover that will come during the summer time. And then you will have the start of the replacement of first, the former Laguna, that will come later in the year and beginning of next year, because depend on the market, but start later on the year at the end of the 2015, and then you will have the replacement of the C-segment with Mégane, Scenic and other stuff, so.
Thomas Besson : Okay. Thank you.
 Kepler Capital Markets: Okay. Thank you.
Jérôme Stoll: On the top of these vehicles that you will see mainly in Europe and some in Asia, we have also big project that will come mid-2015, which is the so called A entry, which is a small car manufactured in India, and we are going to start it sales in India, and with some other right-hand drive countries. And this will be one of the major products in terms of volume for the coming years especially one product on which we count a lot for the mid-term plan.
Thomas Besson : Okay. Last question if I may, please, can you comment on FX in Q4 as you can see, I know it's been extremely volatile in the last weeks. Should we expect further improvement at group level from FX?
 Kepler Capital Markets: Okay. Last question if I may, please, can you comment on FX in Q4 as you can see, I know it's been extremely volatile in the last weeks. Should we expect further improvement at group level from FX?
Dominique Thormann: Yes, Thomas, thanks. This one is for me. I wish I had a crystal ball. What we saw at the end of -- during the summer months actually has happened. So, we've had less volatility and most of the adverse impact has been now reduced to basically two currencies, at least, in this quarter. It came from Argentina -- from the peso and from the ruble. So right now, you get some very, very tricky days like Friday a week ago and everything is off the table, but it looks to be pretty much neutral at best, but still very, very volatile. So, once again, I wish I had a crystal ball, but I don't. And the good news is that Q3 was much less adverse than the first half.
Operator: Next question is from Philip Watkins, Citigroup. Sir, you have the floor.
Philip Watkins : Okay. Good evening. It's Philip here from Citi. I just had a couple actually. I mean, I clearly know you've got no or not very much visibility on Latin America and Russia next year, but if there was sort of a flat market there could you be more profitable there based on initiatives that you yourself can proceed with and I guess FX? And secondly, just in those markets as well, in emerging markets is there any material signs of changes to credit losses actually in financial services given the slowdown in the economy? Thank you.
 Citigroup: Okay. Good evening. It's Philip here from Citi. I just had a couple actually. I mean, I clearly know you've got no or not very much visibility on Latin America and Russia next year, but if there was sort of a flat market there could you be more profitable there based on initiatives that you yourself can proceed with and I guess FX? And secondly, just in those markets as well, in emerging markets is there any material signs of changes to credit losses actually in financial services given the slowdown in the economy? Thank you.
Dominique Thormann: Good evening, Philip. It's Dominique. So, I think the first way to answer your question is to look at what we've done in both Latin America and Russia to adjust to current circumstances. Now I think you know that we've taken production down. We've done considerable restructuring in our plant in Brazil. We've taken actions in our plants in Russia as well. So, we've actually -- we are operating in an environment where better balanced. We didn't have a stock or an inventory problem in Russia. Most of the stock issues that were caused by the Argentinean crisis in the spring of this year have now been resolved or in the process of being solved. So, we are going into it in a -- with knowing that it's not going to be -- that there is not potential for huge growth. So, we are more competitive at this point than we were say a year ago facing potentially severe decline Now if things stabilize, then we will be all the better, we will be better balanced. There are few signs of support coming through. I think you know that the Russians have put in place a, let's call it a scraping program, that might not be the exact terminology, but I think you understand what I'm saying and they actually extended it somewhat. It's not going to last forever, but it has given some support. We have a competitive product line up in both countries in South America and in Russia which is just starting actually and we were at the end of life of our previous product plan before the downturn. So, we're in a better place competitively. On the credit side, actually we've been keeping a very close eye on the scoring, acceptance rates, and collections. I'm not saying anything that is out of the ordinary, you get seasonal spikes in Brazil, it lasted little bit longer this year, because there was the World Cup in addition to Carnival, but we're within the bands of what we've seen historically, and I have nothing on the banking side that I would be concerned about nor in Russia. So, so far, the liquidity funding and credit losses and delinquencies are not an immediate concern.
Philip Watkins : Thank you.
 Citigroup: Thank you.
Jérôme Stoll: Just to add something, if I want to summarize which I can say very important, first on this, on the market you're talking about, I mean Brazil and Russia for instance, we're gaining market share. And this is for us very much important because it represents the success of our products and it gives confidence to the network and it can stabilize our presence on those markets. Then after when you look at Argentina, we have clearly decided to limit our export to this country in order to limit our exposure in Peugeot. And locally, we're adapting our structure in order to take into account the situation. Obviously, it's on voluntary basis, because in Argentina it's the only way to deal with that. But we had quite a good success on this program. So, we are adapting our structure and we are still making some progress in terms of market share with our product, that's all. This is how we deal with this situation.
Operator: Next question is from Charles Winston, Redburn. Sir, you have the floor.
Charles Winston :
 Redburn Partners:
Dominique Thormann: Okay. Why don't I try to put a little bit of color on this. You are right, in that when FX rates move adversely or favorably, but when they move, the impact is immediate; whereas when you price, the impact is diluted overtime. So, you take pricing action today, the time it trickles through your dealer network, sales are going to happen in the future. They don't happen as of today for 100% of your vehicles whereas you have a 100% of whatever you've got out there which is affected by foreign exchange. So yes, there's been a bit of a lag effect and we've been able to put pricing through in many of these countries as an offset to currency. Now, the limitation, the limit to this is that there's competition, right. You have a local market and prices are not elastic to infinity, so that whatever happens and depending on your own price positioning and your level of localization, then you can be a little bit more aggressive or a little bit less aggressive relative to competition. So, the pricing side is a relative competitive game whereas foreign exchange is a data point. So, it's a cost or revenue item and it doesn't have the effect, if we're well localized in a country then with adverse foreign exchange on the revenue side that gives you a sourcing opportunity and sometimes you'll get that benefit, but in another region, for example. So it is a balancing act, and it's one that we try to manage within the confines of what the markets permit. Now on your sales to rentals or channel mix, I'll hand that over to Jérôme.
Jérôme Stoll: Yes. Thank you, Dominique. Yes. Okay, we are a generalist, so we are supposed to sell in all the different channels. But as you know, some of them are, I would say, virtuous and some of them are maybe less with additional discount on rebate. We have established since some years a very strict policy regarding short-term rental, because if we use too much of this channel, it has a dramatic effect on the residual value of the car and it has a dramatic effect on the image of the company at the end and the positioning of the brand. So, we have limited for some years the size of this -- of the use of this channel in order to protect our residual value and to be sure that at the end there is not too many cars with poor price that are coming back very quickly on the market -- on the second hand market and that could jeopardize the good business of the company. Looking at what we see for the time being is clear that our used car market price is recovering. We see on the -- with all our surveys that the price of these cars increasing due mainly to the fact that there is less cars available and because we have been very strict in the recent period of time. And we see that we have some opportunity to use this channel in order to feel the used car with some products without jeopardizing our image or jeopardizing our pricing policy and the residual value at the end. I have not talked too much on the residual value, but it is real indicator that we are following very closely and I can tell you that with new products, Clio and Captur, the residual value of our cars which is the value of one car after three years of use, projected by some independent quotators. We have gained between 5% and 10% -- 10 points, sorry, 10 point of residual value with these two products. And this is definitely the result of further attractiveness of the product. And second, the policy, the commercial policies that we are implementing in Europe.
Charles Winston : Sorry, just to come back to my understanding, is what you're effectively saying is that, as part of the run out process, you're using the rental channel to basically clear excess inventory without damaging price, is that understanding correct?
 Redburn Partners: Sorry, just to come back to my understanding, is what you're effectively saying is that, as part of the run out process, you're using the rental channel to basically clear excess inventory without damaging price, is that understanding correct?
Dominique Thormann: No. Because we are far below the market structure, the market -- the structure of the market is, for short-term rental, is around 10%, 10% of the total market for the countries that we are following in Europe. 10%are made with short-term rental and we are below that, for us it represents only 8% of our total sales. So, we think that we are virtuous in terms of using the channel, but we are a generalist and being a generalist for sure, it's a channel that is useful also for us, not to get rid of stocks, just to get the opportunity of business, some business, let the product be known by the customers who are using short-term rental companies and, at the same time, to follow the value in order not to jeopardize the global business.
Operator: We have our last question from Fraser Hill, Bank of America. Sir, you have the floor.
Fraser Hill : Hi, good evening. It's Fraser from Bank of America. Just two ones left, actually. The first question is on the sales to partners, and again I know this is a revenue not a profit call. But I think you have given some color in the past on the drop-through or the relative profitability of that sale to partner business line before. Can you just remind us what you said in the past about that, that's probably more for my own knowledge? I've forgotten what you've guided in terms of the relative profitability of that revenue stream compared to the auto business, let's say. And then finally just on Russia, how are you guys thinking about the market in light of this scrapage scheme that's in place? I mean, there's been some comment from Russian officials that that scrapage dynamic could be extended. First and foremost, what do you think it's going do to the market in the fourth quarter, let's say, in terms of how the growth could develop, and are you anticipating that you might see some further support from that into 2015 as well? Thanks.
 Bank of America Merrill Lynch: Hi, good evening. It's Fraser from Bank of America. Just two ones left, actually. The first question is on the sales to partners, and again I know this is a revenue not a profit call. But I think you have given some color in the past on the drop-through or the relative profitability of that sale to partner business line before. Can you just remind us what you said in the past about that, that's probably more for my own knowledge? I've forgotten what you've guided in terms of the relative profitability of that revenue stream compared to the auto business, let's say. And then finally just on Russia, how are you guys thinking about the market in light of this scrapage scheme that's in place? I mean, there's been some comment from Russian officials that that scrapage dynamic could be extended. First and foremost, what do you think it's going do to the market in the fourth quarter, let's say, in terms of how the growth could develop, and are you anticipating that you might see some further support from that into 2015 as well? Thanks.
Dominique Thormann: Hi, Fraser, so, no, on sales to partners, I never guided the market on profitability first of all, because these are private bilateral contracts, so we don't disclose our agreements. However, what we did say, and what I did say, is that we're business people and that we're in this for profit, and sales to partners are a profitable part of our business. So, we're not selling at a loss at all. But I didn't give any further guidance as to the level of profitability on a relative basis, and I don't intend to do that tonight, on the Russian market, maybe Jérôme?
Jérôme Stoll: Yes. So, on the Russian market, I would say that, without the scrapping program in Russia, we estimate that the TIV could have dropped down to 20%, and with the scrapping system, we expect that the market will only drop by 15%. So, it has an impact of five points, which is quite significant. Obviously, it's a program that concern old car and the [UIO] of old car is quite high in Russia. So, the potential of such kind of program is very big, but the one that is currently in use is limited, and we are taking our part of this program, and Lada is also taking a huge part of this program as well.
Fraser Hill : Okay, thanks. And do you anticipate that this should carry through into next year, do you think...
 Bank of America Merrill Lynch: Okay, thanks. And do you anticipate that this should carry through into next year, do you think...
Dominique Thormann: No, frankly, I am not in the head of Mr. Putin. I don't know what he will decide. I will be happy that it is extended, but taking into account that this kind of program is often, again has often an impact of anticipation of sales rather than boosting for and having structural increase of the market. So, we have to be careful also not to use too much of such kind of program, but if it is extended to 2015, I will be happy.
Thierry Huon: So, I guess it's time to end the call. I think that you have already had a quite busy day and probably a busy evening given the announcement made by some of our competitors. So good evening everyone and if you need further information, do not hesitate to call Hélène, myself, we'll be available for a while. Thank you, bye.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you all for your participation. You may now disconnect.